Operator: Thank you for standing by. And welcome to the Fourth Quarter and Full Year 2020 Conference Call and Webcast for PLBY Group, Inc. The information discussed today is qualified in its entirety by the Form 8-K that has been filed today by PLBY Group, Inc. and may be accessed on the SEC’s website. Please note that the press release issued this morning and the related Form 8-K can be found on PLBY Group’s website at http://www.plbygroup.com/investors. Today's call is also being webcast and a transcript will be posted to our website. Please also note that statements we make during this call that are not statements of historical facts constitute forward-looking statements that are subject to risk, uncertainties and other factors that could cause our actual results to differ from historical results and/or from our forecast, including those set forth in PLBY Group’s Form 8-K filed today and the exhibits thereto. For more information, please refer to the risk, uncertainties and other factors discussed in PLBY Group’s SEC filings. All cautionary statements that we make during this call are applicable to any forward-looking statements we make wherever they appear. You should carefully consider the risk, uncertainties and other factors discussed in PLBY Group’s SEC filings. Do not place undue reliance on forward-looking statements, which we assume no responsibility for updating. Hosting today’s call are Ben Kohn, Chief Executive Officer; Rachel Webber, Chief Brand Officer and President of Corporate Strategy; and Lance Barton, Chief Financial Officer. I will now open the call to Ben Kohn. Ben, please go ahead.
Ben Kohn: Thank you, Operator. Good afternoon, everyone. It's a pleasure to be speaking with you on our first earnings call, following our listing on NASDAQ earlier this year. I want to start by thanking our employees and management team, who had an unbelievably difficult year, not only had to enter new ways of working together, but conquered that while achieving major growth, growing revenues 89% year-over-year. PLBY Group is a pleasure and leisure company, serving consumers around the world with products, services and experiences to help them look good, feel good, and have fun. Our flagship brand, Playboy is one of the most iconic and valuable brands in the world. Simply speaking, Playboy is huge. Our massive global reach drives $3 billion of global consumer spend, with products sold in over 180 countries. We engage with millions of people every day across our own channels and social media, and our reach continues to grow with our built-in network of ambassadors. No brand gets noticed quite like the Rabbit Head and in today's increasingly cluttered and fickle environment, Playboy has a special power to both stand out and to last. Our strong resonance with the next-generation of consumers around the world sets us up for significant future growth and provides us with a platform that we believe can be synergistic to promote other owned-brands and become the leading pleasure and leisure company. PLBY Group is focused on two key revenue models, direct-to-consumer sales and licensing sales. And is focus on four product categories with growing multi-billion dollar global markets, Sexual Wellness, Style & Apparel, Gaming & Lifestyle and Beauty & grooming. We are still in the early stages of our business model transformation to own and operate within these key consumer product categories. And we have seen great traction so far. With the over $100 million we raised to our recent business combination, we now have a robust balance sheet and the capital market currency to make thoughtful, educated and data back decisions to accelerate that growth moving forward both organically and through acquisitions. Our growth plan is comprised of three areas of focus. First, accelerating the growth of our US direct sales business. In 2020, we saw phenomenal growth across our direct sales platforms and believe we are only just getting started. To capitalize on this massive opportunity and momentum, we recently brought on a new Chief Digital Officer, Kevin Diamond. Kevin joins us from Forever 21, where he ran a $700 million business. Prior to that he co-founded HauteLook, which was acquired by Nordstrom. Kevin joins other research e-commerce and digital hires from global adaptive fund [ph]. In the short-term, our direct sales efforts would be focused on the domestic market in the sexual wellness and style, apparel categories. In the medium to long-term, there are huge opportunities to own the relationship with customers internationally as well. For example, in China this year, Playboy branded products generated over $1 billion in sales on digital commerce platforms alone. But based on existing licensing agreements today, we booked less than $40 million in total revenue. Therefore, as we continue to transform our model, the potential upside is enormous. In 2021, we will continue to evolve our hero website playboy.com into a lifestyle shopping experience and to expand our own product offerings. Our recent acquisition of Lovers brings with it strong private labeling, product development and merchandising expertise, which we are already applying across categories to capture substantial margins, and to expand consumer lifetime value. We will continue to unlock the significant value we see in our network of digital commerce marketplaces, including the Playboy, Yandy and Lovers Destinations, by cross-selling products to our consumers and by using our new data science practice to increase customer lifetime value. Our 2020 test runs of Playboy branded lingerie and costume collections that were cross-sold across channels were very encouraging and helped inform this year's merchandising cross-channel strategy, as well as new growth initiatives. We also started selling licensed streetwear products on our website in late 2020 for the first time. This is just the beginning of our strategy to capture more of the economics of the huge consumer spend on our apparel offerings. Our streetwear offerings have been growing rapidly since 2018. And in 2020, our two biggest streetwear partnerships with Pac Sun and Missguided drove more than $100 million in sales. We're of course thrilled by this consumer response. But these licensing models traditionally only generate $0.05 or $0.06 on the dollar for us and don't allow us to build a direct consumer relationship. In 2021, we're making investments aimed at capturing $0.100 on the dollar by building out our in-house design and production teams and taking back the influencer drop operation Playboy Labs to be managed internally as an owned and operated consumer product line. Our second area of focus is strategically expanding our licensing partnerships and targeted categories and regions. Licensing is a tremendous revenue model that provides stable and predictable cash flows. Global diversification and consumer data insights can help inform our owned and operated business development strategies, including our future product roadmap for direct sales. Playbook is already in the top-20 most licensed brands in the world and yet still in 2020, we achieve 20% year-over-year growth and we see big potential ahead. A few highlights, in China despite the challenges of COVID, the brand performed incredibly well with an uptick in digital spending as consumers spent more than $1 billion in e-commerce sales alone. As part of our China e-commerce strategy, we work hand-in-hand with major e-commerce platforms to enforce our trademarks and we capture unauthorized sales. Similar to how we've expanded our addressable market in the US and UK with female customers, we worked with three key influencers in the Chinese fashion industry to launch collaborative lines of women's apparel and accessories, serving as the foundation for us to continue our push into the women's market.  We see big growth potential going forward to expand our additional product categories for men such as Men's Skincare and Grooming and to continue to serve a new generation of both male and female consumers with our apparel and fashion lines.  In India, we recently announced a partnership with Jay Jay Iconic Brands to adapt our existing streetwear success to meet young Indian consumers, slowing demand for streetwear fashion. We believe India could be a significant contributor to our revenue in the years ahead across all of our core product categories. In gaming, we are focused on expanding our licensing business having cleaned up significant rights in the category in recent years. In addition to our existing partnerships with micro gaming, Scientific Games and Caesars, we have recently signed new deals to launch Poker rooms in Texas and to roll-out real money electronic table games with Interblock. We believe there are significant opportunities to expand gaming activities in iGaming, sports gambling and social gaming. And of course, we continue to set up our licensing business to optimize across all territories and product categories by freeing up rights, which had been previously been encumbered. We are now looking for new partners to exploit those rights. Across all of these efforts, we will balance the trade off between owned and operated offerings and licensing to make the best long-term decisions to drive significant return on investment, revenue growth and shareholder value. Which brings me to our third area focus, emerging growth opportunities although we have the core business that is growing and highly profitable, we believe there are emerging opportunities to use our capital to accelerate our growth even faster.  We’re prioritizing new business development initiatives based on consumer insights weekly from our direct-to-consumer and licensing businesses with the focus on expanding customer lifetime value. These are initiatives that should generate significant revenue over three to five year time horizons. The return will not be overnight, but we would be remiss not to make the investments today to drive such significant future growth. The driving force of this new business development strategy to power our flagship brand. I'd like to hand the call over for a few minutes to our Chief Brand Officer and President of Corporate Strategy, Rachel Webber to share a bit more detail.
Rachel Webber: Thank you, Ben. It's such an exciting time at PLBY Group. Over this past year, we've continued to see powerful Playboy brand affection promoted by influencers and the creative community. And this has translated to strong sales, particularly with Gen Z and millennial consumers.  We're particularly proud of our break the internet moments, including our first digital cover drop with Bad Bunny, which sparked crucial conversations on masculinity today. Our recent International Women's Day partnership with Lana Rhoades, Ellen von Unwerth and Lynsey Addario and the work we did with our Playmate community throughout the year to raise awareness for gender and racial equality and body positivity. It's also thrilling to see all of the organic influencer promotion for the Playboy brand.  For Megan Thee Stallion showing off her Playboy nails to her over 20 million followers to LaLa Anthony paying homage to the classic bunny suit, to many of the biggest TikTok stars wearing their Playboy streetwear in their dance videos.  The key thing that we're working on today is turning our Playboy franchises and themes into huge product lines in contemporary marketing platforms unto themselves. Based on the considerable success we've seen with our tests of Playboy lingerie topical collections on Yandy, we are now investing in building out a much more ambitious strategy for a lingerie line that will likely leverage our Playmate franchise. We are working in partnership with the Beauty Incubator to accelerate bringing a new cosmetics line to market as well. And as Ben mentioned, we are beginning to take in-house our streetwear business, including the Playboy Labs franchise to invest in building an owned platform for influencer driven product collaboration. We're particularly excited by the opportunity to leverage our Mansion and Big Bunny franchises to activate influencer communities and rollout related product lines. Lastly, we are sitting on almost 70 years of the most incredible and iconic art and photography. We are actively working on our non-fungible tokens or NFT, and digital collectible strategy to enter the space in a thoughtful way, designed for long-term growth and community adoption. We are thrilled by the runway ahead and the wealth of opportunities afforded us by our priceless intellectual property. And before I hand the call back over to Ben, I want to make sure to touch on our important social impact work, which builds on Playboy’s long history of advocating for personal freedoms and equality. 2020 was the 50th anniversary of the Playboy Foundation's groundbreaking commitments on cannabis related social justice and cannabis law reform. We are very proud this past year to announce the reinvigoration of this work, including a grant and mentorship program to support black and brown cannabis entrepreneurs and partnerships with grassroots organizations, progressing crucial social justice efforts. Our ongoing social impact programs are core to our playboy DNA, and in many ways more relevant to our audiences and customers today than ever before. With that, I'll hand the call back over to Ben.
Ben Kohn: Thank you, Rachel. We are seeing more growth opportunities today than any time since I took over as CEO. I believe it speaks to the brand investments we have made that are clearly resonating with consumers globally. The opportunities we see include initiatives previously identified in our five-year projections, as well as new opportunities that should they be successful, allow us to accelerate and/or exceed the five year numbers we provided historically. These opportunities require small upfront investments, but we believe they are warranted and can result in significant return on investment. To recap these growth initiatives; first, continue to accelerate our direct sales growth in the U.S. through increased merchandising, cross-selling and influencer marketing programs. Second, continue to develop our streetwear business in-house to capture 100% of the retail spend, as well as partner with influencers to launch capsule collections with us as the licensor. Third, expand our Sexual Wellness offerings with our private label products to increase margins as well as develop a permanent Playboy lingerie collection. Fourth, continue our growth path into India and women's apparel and lifestyle in China. Fifth, re-licensed rights we have taken back including opportunities in the gaming space. Sixth, continue to grow our intellectual property portfolio by creating or re-launching new sub-brands that we can exploit not only domestically, but which we will also be able to license internationally. Seventh, invest in beauty, color cosmetics and men's grooming. Eighth, launch our spirits in Asia hand-in-hand with our spirits joint venture partner. Ninth, expand our CBD-based product offerings internationally as well as launched THC beats products domestically, should they become legal at the federal level, and can leverage our phenomenal archives in the NFT and other ancillary spaces. Lastly, on the acquisition front, we are pleased to announce just a few weeks ago that we completed the acquisition of Lovers, a leading omni-channel sexual wellness retailer. The Lovers transaction is both financially compelling and perfectly aligned with our sexual wellness expansion plans. With an integrated Lovers platform, we achieve immediate expanded reach for the cross-sell of some of the Yandy's fastest growing product lines, which we tested this past year as well as our newly launched Playboy Sexual Wellness intimacy offerings, such as their CBD-based products, condoms, and wipes. Lovers' also brings us high quality merchandising, private label product development capabilities, and highly experienced experiential retail leadership. In the sexual wellness category, in particular, product discovery and in-person retail education drive significant propensity to buy and consumer brand affinity. On with a strong balance sheet and the publicly-traded equity, we are actively searching for the most financially compelling acquisition opportunities that will enable us to accelerate our organic growth goals and product category leadership. Most importantly, I am surrounded by a world-class management team that combines the operational and corporate development experience necessary to execute on all of the immense opportunities in front of us. I am now excited to introduce you to the newest member of that senior management team, Lance Barton, our Chief Financial Officer.
Lance Barton: Thanks so much, Ben. Let me start by saying how thrilled I am to be here as PLBY Group's newly appointed CFO. I joined this team because I believe the huge organic reach of our flagship brands and 68 years of valuable and one of a kind IP, provides us with a multitude of revenue opportunities that we are in the very early stages of capturing. I'm excited to partner with Ben and the fantastic executive team that he has assembled as we embark upon this journey. Now, let's dive into the numbers. We had an incredibly strong fourth quarter and full year 2020, driven by growth in both direct-to-consumer and licensing revenue. Total revenue in the fourth quarter increased 118% year-over-year to $46 million, while full year revenue increased 89% to $148 million. Direct-to-consumer revenue grew from almost nothing in 2019 to $64 million last year, driven by significant growth in both sexual wellness and style and apparel. Licensing revenue grew 20% to $61 million last year, driven by our global and diversified portfolio of licensing. Net loss narrowed to $5 million in 2020, a year-over-year improvement of $18 million, and then the fourth quarter, net loss of $0.5 million with a year-over-year improvement of $5 million. Adjusted EBITDA for the quarter was $7 million and for the full year was $28 million. Fourth quarter EBITDA would have been higher, but we booked $2.2 million of out-of-period expenses to clean up historical sales tax and achievement liabilities, along with retention bonuses that should have been accrued for earlier in the year. Turning now to the balance sheet, as many of you are aware, our ending cash position in 2020 of $15 million does not reflect the closing of our business combination with Mountain Crest Acquisition Corp, which occurred on February 10th of this year in capitalized PLBY Group with over $100 million of unrestricted cash net of transaction expenses. Subsequently, our cash balance was reduced by $25 million on March 1st, when we acquired Lovers. I also want to mention that we intend to kick off a process to refinance our existing debt shortly after earnings. We will work with our advisor to evaluate alternatives and will ultimately decide, what to do based on available terms and market conditions. In terms of financial outlook, providing one in the current macro environment is difficult for many companies and we are no exception. We continue to experience supply chain disruptions due to COVID that impact our revenue, as key ports still face challenges receiving products causing us to remain out of stock on many items. Despite these uncertainties, we've had a great start to the year, so I want to provide some color on our outlook for the full year, based on what we know today. We believe that we will exceed $200 million of revenue in 2021. This number raises our prior outlook for Playboy, and includes revenue to be contributed from Lovers starting in March, but does not include revenue from any emerging growth opportunities that we may choose to invest in. Similar to last year, we expect much of this growth to come from increased direct-to-consumer revenue in both, Sexual Wellness and Style and Apparel. It's also important to note, that as we continue to grow our direct sales, there will be increased seasonality in the business, with revenue building throughout the year, and the fourth quarter, typically the strongest due to Halloween and the holiday shopping season. As Ben and Rachel described, we currently are seeing more opportunities to invest in the business than ever before. We expect to take advantage of these opportunities by making near-term investments, which we believe will accelerate our path to exceeding our long-term targets of $300 billion of revenue, and $100 million of adjusted EBITDA. These discretionary investments, along with the increased costs of being a newly public company, may slightly impact the 2021 EBITDA outlook that was previously communicated. But that impact will ultimately depend on the cadence and number of opportunities that we decided to pursue this year. We will evaluate each investment on the basis of its potential to accelerate long-term revenue and profit growth. And look forward to updating you on the progress of our growth strategy as we move through the year. With that, I'll ask the operator to please open the line for questions.
Question-and:
Operator: Thank you. [Operator Instructions] Our first question comes from the line of George Kelly of Roth Capital Partners. Your line is open.
George Kelly: Hi, everyone. Thanks for taking my questions and congrats. Really nice quarter, so, nice work. So I do have a few questions for you. First, I wanted to talk about, your U.S. business. And you gave a statistic, I think it was over $100 million of retail sales coming from two of your key partners in the U.S. So I guess the question I wanted to ask you -- that surprised me. That was a big number. So my question is, as you're launching more on your own e-commerce channels, I'm speaking of Playboy and Pleasure for All and Others. How quickly, will those businesses ramp? I'm just looking at that $100 million and thinking, wow, the products look somewhat similar. So I don't know if you can help at all, just with what you've seen so far. Give us any kind of temper my expectations. I don't know, however, you want to answer that.
Ben Kohn: Hey, George, it's Ben Kohn. Thanks for the question. So, the products aren't dissimilar to things we have planned, including taking back Playboy Labs, which historically have been outsourced, which is really taking us and turning us into the license or versus licensee, had really successful drops last year with Steve Aoki, et cetera. The opportunity in front of us, it really speaks to the consumer demand for the brand. So you're right, the number with Pac Sun and Missguided for retail sales exceeded $100 million. That's up over 15 times since 2018. The challenge with the business model, and this is really where we're in the bottom half of the first top half of the second evolving it is in that deal, we only see $0.05 to $0.06 on the dollar, right. So if you think about the consumer spend versus what we're booking at – as revenue, the opportunity is absolutely huge to grow our revenue moving forward, where we can book $0.100 on the dollar. And we believe, based on the product category that should translate to a very nice net margin somewhere in the 25% range and so we're excited. As far as the ramp on that, we just brought in Kevin Diamond, and we're very excited to be part of the team. He's continuing to build out the team underneath them. And I think it will be an evolution. So it's not like we're getting rid of the other revenue overnight. We have partnerships with – with these brands that we think are great partners of ours. But we believe long-term, not only domestically. But internationally as well, given that $3 billion are spent, we look to capture a much larger percentage of that over time, that will not only increase to a – a magnitude in our revenue growth, but also our EBITDA growth long-term.
George Kelly: Okay. Excellent. And then maybe just to sort of follow-up on that conversation. How quickly do you expect to launch into? I think you gave a bit of a timeline, but so that the first real push is in Sexual Wellness and Apparel. And should we start to see cosmetics later this year? What do you think the timing is on that?
Ben Kohn: Yeah. So, obviously, our ramp that we're projecting internally today on Apparel, just finishing the last is slow, and there's good chances if things work we will exceed those targets. And we'll talk more about that as the year proceeds. As far as Cosmetics, we have signed a partnership with a beauty incubator, we see a massive opportunity to cross-sell products with Yandy and Lovers customers. And we can talk more about that. Most likely that product, the First Color Cosmetics will launch in the beginning of 2022. There's a long lead time with this. But we think it's an investment and it's warranted. It's also an investment and a revenue stream that was not forecast in the 300 million. If you remember our model, we are projecting about $16 million of growth over five years in the Beauty & Grooming space. Obviously, we would not be making this investment in color cosmetics and ancillary products to generate $16 million in revenue. And so we hope in the future, we'll be able to talk more about how big that opportunity can be on a global basis, including and other international markets.
George Kelly: Okay. Excellent. And then a separate topic on your international license business. Can you help me understand just the kind of normalized, if I just look over the next two to three years, in China, you're introducing – recently introduced women's apparel and you talked about e-commerce and growth in India? If you just sort of gave it a normalized growth rate, should this be kind of high single-digit revenue growth for the foreseeable future? Am I crazy saying that?
Lance Barton: Well, I think what we've talked about is in 2020, our licensing business grew 20%. Again, it's not a linear growth. It will be a step function as we continue to accelerate our growth in international markets. But I would say, you know, long-term, I'm a firm believer from a macro perspective in the India market. Our first product will be launching there in October with Jay Jay Iconic Brands right before a festival season. There's big opportunities in gaming, in the spirit sector, craft beer, specifically, men's grooming and sexual wellness. In fact, in the sexual wellness category, we just terminated or parted ways with a small partner there that was really in the lingerie and innerwear space to take that back in-house. But, you know, I think India will be a combination of owned and operated in licensing. But we see big opportunities in Brazil, in Russia, and then in other places, including in China, where, you know, one of the biggest categories is men's grooming, and we're not in that today.
George Kelly: Okay.
Lance Barton: I’d just – also just add to that, you know, I think we've mentioned this before, but we've got 400 million of these revenues that are contracted with us through 2029. I think those numbers that we report don't even consider renewal rates on those contracts. I think historically, we've had a 95% renewal rate on that. So the nice thing is you've got that stable cash flow coming from that. And then to the extent that we decide to, you know, obviously, we didn't demonstrate it over the last few years and ability to really grow that licensing stream, we can do that by expanding into more of these partnerships, or as Ben talked about this opportunity to bring some of these things in-house, which could generate obviously a multiple of that revenue and EBITDA for us.
George Kelly: Okay. Excellent. And then last question for me, NFT. So I'm no expert here, but can you tell me just a bit more about maybe this is -- sort of longer term plan and you're not wanting to say too much now and that's fine, but what is -- I know you have a big media library, of course, all the -- magazines and covers and all that. Are there other things that would be suitable for NFT, or just how are you -- what is it that you own that you think makes the most sense to potentially -- do some around NFT?
Ben Kohn: Sure. So George, I'll take this and I want to turn it over to Rachel Weber to talk more about it. You know, we've been looking at the NFT space for multiple months now. We've had multiple proposals for licensing, which we have passed on. We believe the opportunity is huge long-term. It is something that we are going to be launching here in the near-term and Rachel will talk about that and we'll be making more announcements on it. It is not forecasted today in any of our projections moving forward for the balance of this year from a revenue perspective, given that the NFT space is emerging and our presence in that NFT space will be emerging. But let me turn it over to Rachel to talk more about our excitement around it.
Rachel Webber: Great. Thanks George for the question. As you described, we're very excited by the NFT Art space in particular. You know sitting on this incredible art collection and our iconic archive of photography and some of – the world's most famous artists, Highbrow/Lowbrow Cartoon. We have an incredible wealth of material. We also have a long history of partnering with artists to create new material and that's definitely going to be part of our plan. Across the board, though to your point, we really see this as a long-term strategy for how we leverage block-chain technology across all of our categories. So in addition to Art, there's working with our talent relationships to create NFT, kind of ownable experiences with our talent. There's the opportunity for us to apply our streetwear to Blockchain technology. Streetwear is something that consumers inherently want to feel a collection of, want to feel ownership over, so that's a part of our comprehensive plan. And lastly, the Playboy brand in particular has in it, this inherent sense of once in a lifetime experiences and those best experiences that you can have. And there's a way for you to pair that and turn those experiences into collections of experiences or things that you can own, that we can leverage Blockchain and the kind of the Gamified LMS as well on top of the Blockchain. So as Ben described, we'll have some of our first announcements coming in the very near future. And we're really planning this comprehensive plan for the long-term.
Ben Kohn: Yeah. So George, I think we have an unbelievable archive, 68 years. It is the 5,000 pieces of art we have, its covers, it's photography, it is so deep and rich in what's in there. But it's also the relationships that we've had for 68 years with artists, LeRoy Neiman was on staff at Playboy. It was us commissioning the Warhol with Andy Warhol. And so I think it's going to be a combination of leveraging the archives and the art collection, commissioning and working with emerging artists today for new works. A combination, thereof, and then those great talent relationships we have with influencers and with a whole host of creative community where we can also create NFTs in other digital collectibles with them.
George Kelly: Okay, excellent. That's helpful. I'm going to hop in the queue. Thank you. Thanks for answering all my questions. 
Ben Kohn: Thanks, George.
Operator: Thank you. Our next question comes from Alex Fuhrman of Craig-Hallum Capital. Your line is open.
Alex Fuhrman: Great. Thanks very much for taking my question. Nice to speak with you all. It sounds like there's a ton of investment opportunities in front of you that you're looking at, I'd love to ask about a couple of them. In particular, emerging markets seems like a big opportunity just given how big the Playboy brand is in China. Can you talk a little bit more about your timeline and strategy to go after additional markets? It sounds like, Ben, you mentioned that we're going to see the first Playboy product in India in October; could that potentially be a significant business in 2022? Can you talk about what the ramp is going to look like there as well as maybe any other countries you're thinking about?
Ben Kohn: Yeah. Thanks, Alex. Well, this, one of the reasons I took this job is how huge Playboy is and how valuable it is. And I've spoken to this, but I believe like the Nike Swoosh, we are sitting on one of the most valuable pieces of IP that exists in the world. And not only do we sell product domestically were we seeing your 15x increase in our domestic product. But internationally, we sell product in 180 countries. In China, we are one of the largest men's fashion brands. We have 2,500 brick-and-mortar stores, 1,000 e-com stores that's historically been men's apparel; we just launched women's apparel. We think there's a big opportunity in men's grooming and other categories. India, I believe long-term could be as large as China is today for us. It is the youngest consumer base in the world. It will be the largest consumer base in the world. It's English speaking. That can be a hybrid model as I mentioned before have owned and operated and licensing. But South America again, brand has -- basically 100% awareness is loved in South America. Brazil is really interesting opportunity for us not only with CBD products, but with our Beauty products, it's a massive beauty in grooming market down there. Russia is really interesting. We're seeing an expansion of the business in Europe as well. And so again, what's so unique about this brand, and I view it as really priceless, is that awareness that we have on a global basis, and it opens so many doors and provides so many opportunities to not only -- for future growth, not only capitalizing on the spend that's there, but expanding that spend exponentially in the future. And so what we'll see what happens in India, I'm very optimistic on it. As us the team, we have a team now dedicated and focusing on expanding our market there. And the same with China, where I think we can continue to launch others products and services. And then, there's the other opportunity in China, which is we made a big investment in 2019 in software, really tracking our online sales. And I think in no means do I want to tell you that will collect every single dollar in China. But I will tell you right now, there is a significant opportunity to start collecting overages in the future in China. We've been slowed down because of COVID and the nature of doing business there and being there in person. But we know what is being spent now on the online platforms. And we know there's an opportunity to enhance our margins and our revenue by collecting existing spend that is being under reported to us.
Alex Fuhrman: Great. That's really helpful. Thanks Ben. And then I also wanted to ask about Lovers, you've been in this business for a couple of weeks now, have there been any surprises? Since you've owned the business, curious, what your thoughts are having had a more in depth look under the hood? And then, I know it's obviously early days right now, but as you look out having this network of brick and mortar store, what's the opportunity for Playboy-branded product, products from Yandy. Do you envision a pretty substantial overhaul of the current Lovers store, or is it going to be more tweaking around the edges. We'd love to just hear more about your strategy there.
Ben Kohn: Yes, I think let's start with our M&A strategy, because we have a really robust pipeline of M&A. Both Lance and I, and other members of the team have a rich history in M&A and a ton of experience over the years. Lance ran M&A for both IAC and then for Match, and I spent 20-plus years in private equity before I took the job full time here. One deals have to be financially compelling. I always put my private equity hat on when we're looking at these. But one of the reasons that I left private equity to do this full time was the opportunity to really realize synergies between companies. And so not only do deals for us have to be financially compelling, we also have to see real synergies. And those synergies can come in two forms. One on the cost side, but more importantly for us, as we look to really expand our revenue is by buying a company are we accelerating our organic path, because there's a skilled -- skill set that's coming in that helps us accelerate it. And I believe that exists out Lovers today. So, a couple stats, we tested bedroom accessories at Yandy last year saw unbelievable traction with very few skews. We are now actively going to market to our Yandy customer base a full source assortment of Lovers products. But on the flip side of that also, Lovers, about 20% of their revenue comes from lingerie. Again, same issue that we had at Yandy, which is very few skews that come off of that. So, now we have the ability to take that full Lover -- Yandy merchandising and market that to the Lovers audience, and then we're going to be cross selling this like we started to do in the fourth quarter across all of our e-comm stores. So if you saw, in the fourth quarter with Playboy, we sold Halloween costumes for the first time. We started selling lingerie. Yandy also gave us great testing on our Playboy branded lingerie. So the two capsule collections with them, we have another one coming up. It's sold out pretty much immediately, the first one. The second one, we ended up, I can't remember, how many reorders or merchandise we had. And that is now giving us the data to actually launch our own lingerie business that Rachel touched on and either under the Playboy or the Playmates franchise moving forward, which we think has massive global potential long-term, huge market for lingerie, unbelievable margins. As far as the retail side, we have our products in a number of Lovers stores and we are working on embedding them in all of the Lovers stores, including our CBD, condoms, wipes, et cetera. Lovers also has a great private label division. And so, we can immediately launch other products that we're targeting for later this year. And then, from the storefront, 70% of Sexual Wellness store sales still come from online -- sorry, from retail environments. And so we're able to see a higher sell-through of our products there, because we're able to educate the consumer on those products. I do see a world in which we can continue to evolve their storefronts. Sexual Wellness has become completely mainstream over the last three years. So, it's Gwyneth Paltrow going on The Ellen Show and talking about her favorite vibrator. It's -- Goop just launched the vibrator actually. And so, I think, there's a way to continue to merge the stores to drive additional growth. Barbara Cook, who joins us as the CEO of Lovers, has a really rich history in retail. We also think there’s an opportunity, although we're not forecasting at this point for Playboy branded experiential retail, whether that be on a permanent basis, or a pop up basis, but we think there's a great opportunity to continue to drive brand awareness for us. And really what the future of Playboy is through both.
Alex Fuhrman: Great. That's really helpful. Thanks very much.
Operator: Thank you. Our next question comes from Austin Moldow of Canaccord. Your line is open.
Austin Moldow: Hi. Thanks for taking my questions. Can you talk through the underlying drivers of that 20% licensing growth?
Ben Kohn: Yes. So Austin, its Ben Kohn. How are you?
Austin Moldow: Good.
Ben Kohn: The underlying growth was really across the board. So, we signed a new kids deal in China that we only got a very small benefit of last year. Our apparel business in the United States, so if you look at it, with PacSun misguided again, that was a business that on a combined basis in 2018 did roughly $6 million, growing to $29 million in 2019, and over $100 million last year, and obviously a percentage of our revenue. But the way to think about our licensing businesses, again, it's a lot of onesies and twosies, as is this business. And so it's a really well diversified global revenue stream. And so there's contributions all over the place. We have new gaming partnerships. We have new gaming partnerships that we signed that we don't book revenue for, but we will starting this year as our poker rooms and their Black deals come online. And then on top of the growth we saw, we've also freed up a ton of new whitespace that we plan on licensing for areas that we don't want to operate ourselves in.
Austin Moldow: Great. Thanks for that. Can you walk us through the puts and takes for near-term, direct-to-consumer operating margins? And maybe what you think long-term that D2C operating margin could be?
Ben Kohn: Yeah. Look, I think, on the near-term, we're still in the ramp up phase. What so unique about this brand is the 50 million people we interact with every single day. And so unlike other brands, and I'm talking about Playboy specific now, that spend a ton of money on customer acquisition costs. We historically have not done that, because we have an embedded audience today. I'm really excited about what Kevin is going to do. Long-term, I believe, as we said, for a company-wide basis, and this is how we think about it, we should be in the 30% margin, depending on product category. On the D2C basis, I would assume we're going be sort of in that 25%. We also have really unique assets here. We've talked about the art collection. And we have a whole host of other things that we think to be very high ticket items on e-comm that we can merchandise around, that would allow us to actually expand those margins.
Austin Moldow: Got it? And lastly, could you sort of refresh us on your relationship with Walmart and CVS as, as it pertains to your Sexual Wellness products?
Ben Kohn: Yeah. Again, I think, the business rationale for entering those two was really about more awareness in the Sexual Wellness space. They're not money making – they're not big moneymakers for us. Because the margins are slim, by the time you get done paying big box retailer fees. And so from a strategy perspective, it's a nice to have, again, it's a small contributor, what we're really focused on is our owned and operated in D2C efforts, where we can drive superior lifetime value as a customer, which is something with our new data science practice we're really focused on. And I think, again, in this cluttered and fickle consumer environment that we live in, we have such a massive – mass unique advantage, and that this brand stands out amongst all others. And that's I think I opened with is this, The Rabbit Head is so recognizable, and stands out that it gives us – it gives us a really unique competitive advantage versus others that are spending a ton of money trying to build brand awareness, we don't have to do that. Now we have to invest in the brand, which we do every day. And I think you start – starting to see the fruits of that this year with our streetwear business, growing up basically 40x [ph] a year-over-year really around Gen-Z. So we'll continue to invest in the brand. But the awareness is there. And I think in this fickle consumer environment, this is a brand that truly stands out.
Austin Moldow: Great. Thanks for the color.
Operator: Thank you. Our next question comes from Greg Pendy of Sidoti. Your line is open.
Greg Pendy: Hey, guys, thanks for taking my questions. Just one on Lovers, it looks like you're quite – you're acquiring 40 plus stores versus Yandy, I don't believe there was any store footprint tied to that acquisition. So just kind of wondering, what type of lease exposure are you taking on, in light of the – some of the trends that are going on in retail right now. And what is your appetite I guess, for further stores as you think about acquisitions going forward?
Ben Kohn: Look, first we’ll start on appetite for expanding stores, I think the startup cost of expanding these stores is relatively minimal, talking 100,000, couple of 100,000, something like that. We – we view it as – because they're an omni-channel retailer and the in-store experience can sometimes drive sales online as well. So one of the things we really liked about Lovers was, was the fact that they provided a really good in-store experience. We're not focused, I don't think on immediately expanding our footprint there. But it's something that, I think certainly could be done with pretty minimal capital outlays. On the lease exposure side, I don't think it's anything material worth calling out. You know, I have to go back to our financials to see, but I think most of the leases will expire within the next four years. Again, I think the startup costs on all of these are pretty minimal. And we've got opportunity, obviously to renegotiate for lower rates whenever these leases are up for renewal. I don't know Ben, anything else to add?
Ben Kohn : Yeah. The only thing I would add is, what's great about Lovers in their stores is as Lance said, the startup costs on these are 100,000 give or take, the payback is very quick. And so we are able to acquire customers through the stores in a very profitable way. And then transfer those customers to online as well. And so I think it's very unique versus, when you look at – when you look at the universe, others are trying to acquire customers online you potentially lose money on those customers. In the beginning, we have the ability to acquire customers multiple different ways, right, so online, as well as brick and mortar and then transfer that brick and mortar customer to an online customer. And so that's what we're focused on long term. Again, is B2C, we think retail does have a place. It's not going to be the primary driver, but we can leverage retail and the customer acquisition to cross-sell that customer with multiple different products by capturing their information at the POS or the point of sale.
Lance Barton: And also, Greg, just – past I think I've said the leases expire over the next four years. I think half of them are actually expiring in two years or less.
Greg Pendy: Okay. That makes sense. That's helpful. Thanks a lot.
Operator: Thank you. Ladies and gentlemen that does conclude today's conference call. Thank you for participating. You may now disconnect.